Operator: Good day, and thank you for standing by. Welcome to the NuStar Energy L.P. Second Quarter 2021 Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Pam Schmidt, Vice President of Investor Relations. Thank you. Please go ahead.
Pam Schmidt: Good morning and welcome to today’s call. On the call today are Brad Barron, NuStar Energy L.P.'s President and CEO; and Tom Shoaf, Executive Vice President and CFO, along with other members of our management team. Before we get started, we would like to remind you that during the course of this call, NuStar management will make statements about our current views concerning the future performance of NuStar that are forward-looking statements. These statements are subject to the various risks, uncertainties and assumptions described in our filings with the Securities and Exchange Commission. Actual results may differ materially from those described in the forward-looking statements. During the course of this call, we will also refer to certain non-GAAP financial measures. These non-GAAP financial measures should not be considered as alternatives to GAAP measures. Reconciliations of certain of these non-GAAP financial measures to US GAAP may be found in our earnings press release, with additional reconciliations located on the Financials page of the Investors section of our website at nustarenergy.com. With that, I will turn the call over to Brad.
Brad Barron: Good morning. Thank you all for joining us. We have a lot of positive things to talk about today, our sale of non-core assets and a strong second quarter, as well as our outlook for the rest of the year and beyond. First, starting with the sale. On Monday, we announced that we signed an agreement to sell nine terminal facilities in eight locations in the Northeast, Illinois, Florida to Sunoco L.P. for $250 million and we expect to close on that sale early in the fourth quarter. As we previously discussed, we plan to deploy the proceeds from this sale to further improve our debt metrics. While selling assets is never easy, this transaction is a win-win for all parties, as we're exiting non-core assets at an attractive valuation, which allows NuStar to lower leverage and Sunoco is adding high quality infrastructure assets and great employees to its portfolio. With this sale we're positioned to strengthen our balance sheet further to focus 100% on our core strategic asset footprint. Our refined product systems across the Mid-Continent, Texas and in Northern Mexico, our crude assets including our Corpus Christi crude system with our North Beach export facility, our flagship St. James crude oil terminal, and our core Permian Gathering System, and our renewable fuels business current and future. Currently, the focus is on the West Coast renewable fuels network, where we are already the leading logistics service provider. And in the future, plan to focus on our ammonia system, which spans more than 2,000 miles from Louisiana, North across much of the Midwest. Now, to turn for a few minutes to our strong second quarter results. This quarter, we generated $189 million of EBITDA, which is 17% higher than 2Q 2020's results and also a 12% improvement over first quarter of 2021. That strong improvement in EBITDA was driven by out-performance across our core strategic asset footprint; our refined product systems, our crude assets, and our West Coast renewable fuels network. Starting with our refined product systems, refined product demand has continued to improve as more and more Americans have returned to normal day-to-day activities. After dipping to an average of 95% in the first quarter due to the winter storm, our second quarter averaged rebounded back to 105% of pre-pandemic demand and we're now forecasting 100% for the full year. Our second quarter refined products throughputs are up 34% over to 2Q, 2020 and also up 19% over first quarter of '21. As vaccination efforts progress, we expect to continue to see sustained recovery in front refined demand in the U.S. and in Mexico. We continue to expect our refined product systems to perform at around 100% of our pre pandemic run rate for the remainder of 2021. Strengthening refined product demand has also increased U.S. refiners demand for crude, which has contributed to higher throughputs for our crude pipelines in the second quarter, up 17% over 2Q of 2020, and up 13% over 1Q of 21. Rebounding crude demand, along with tempered global supplies contributed higher crude prices and improved expectations for US shale production, particularly in the Permian Basin. Thanks to our Permian core of the core premier location, lowest producer costs and highest product quality, we saw our Permian systems volumes grow in the second quarter to an average of 450,000 barrels per day, up 12% over 2Q of 2020, also at 12% of first quarter of 2021 and comparable to the record breaking peak we saw in that system in the first quarter of '20, which is you know as pre COVID. In July, we saw our Permian volumes increased an average of 481,000 barrels per day. We're on track to exit 2021 at around 500,000 barrels a day in our pre COVID volumes. We continue to expect to see Eagle Ford and WTI volumes at our Corpus Christi Crude System at our MVC levels for the rest of the year. We've seen an increase in recent weeks, in a number of WTI long haul barrels were receiving from the Permian, and we're hopeful that we'll see that trend continued as vaccinations continue to proliferate and global demand improves. Sustained healthy US shale production growth, combined with improving global demand would drive US export growth over time, which we expect to be positive for crude volumes on our Corpus Christi Crude System, as well as for our St. James terminal, where we expect to benefit and marking the cap line as that reversal is completed in 2022. Now turning to our renewable fuels business. Our West Coast renewable fuels network is already playing an integral role in significant reductions in carbon emissions, and offers us a great platform for growth across that region. These two are already handles an impressive share of California's renewable fuels. According to the latest available data from the state of California for the first quarter of 2021, NuStar handled about 5% of California's total biodiesel, close to 20% of California's ethanol and close to 30% of the state's renewable diesel volumes. We expect NuStar’s presence to continue to grow, as we complete our planned tank conversion projects. We will continue to transition existing tankers over to renewable service as customer demand increases. We're also looking at some exciting renewables opportunities for our ammonia system. Our ammonia system has always been a steady important EBITDA contributor for NuStar, but we haven't talked about it much in the past. So for a little context, it's the longest ammonia pipeline in the country, spanning more than 2000 miles from Louisiana, north up to the mid-continent, along the Mississippi and beyond, where the ammonia we transport is primarily used for fertilizing crops by farmers in the nation's breadbasket. This critical chemical is now experiencing Renaissance, as an energy source capable of powering zero carbon heavy duty engines and marine vessels, as well as for ammonia is ability to offer the safest and most efficient transportation and storage medium for hydrogen. We all hear about the future of hydrogen has emerged as a promising low emissions energy source. We're excited that there are actionable opportunities for hydrogen for use now, including utilization of hydrogen to generate sustainable electricity from grid stabilization. Not to mention, zero emission transportation fuel for heavy vehicle fleets. We believe the steps our customers and other ammonia producers are taking toward green ammonia production, as well as increasing demand for renewable alternatives, carbon emission reductions will drive concurrent demand for growth on our ammonia system, with little or no additional strategic spending. We're developing a number of near and long term actionable, low multiple, modest spend, high return organic projects for connections and other enhancements to our system to maximize its role in our renewable fuels future. On that note, before I turn the call over to Tom to discuss our second quarter results and full year outlook in more detail. I want to point you to our newly issued sustainability presentation, which you can find on our website. In that presentation, you'll learn more about NuStar culture of responsibility, which has distinguished us throughout our 20 year history. We've always been committed to protecting and caring for our employees, our communities, and the environment. You will see our track record of excellence in health, safety, and giving back, as well as our commitment to sustainability now and in the future. With that, I'll turn it over to Tom to give you more details on NuStar’s quarterly results. 
Tom Shoaf: Thanks, Brad, and good morning, everyone. As Brad mentioned during the second quarter 2021, our results reflect the continued global recovery and demand, rebounding from 2020s pandemic lows. During the second quarter of 2021, we generated EBITDA of $189 million, up $27 million or 17% over the second quarter 2020 EBITDA of $162 million. Second quarter 2021, DCF available to common limited partners was $97 million, up $35 million or 56% compared to DCF available to common limited partners of $62 million for the second quarter of 2020. And our distribution coverage ratio for the common limited partners was 2.22 times. Turning now to our segments. EBITDA and our pipeline segment was $142 million, which is up $26 million or 22%, compared to the second quarter of 2020s EBITDA of $116 million. During the second quarter of 2021, we continue to see strong quarter-over-quarter improvement in our Permian Crude System throughput volumes. In addition, we experienced a rebound in our throughput volumes on our central west, east and north pipeline systems from increased demand. Our second quarter 2021 EBITDA on our storage segment was $70 million, up $2 million from the second quarter of 2020 EBITDA of $68 million. Continued solid contributions from our West Coast renewable fuels network and improved volumes at some of our central west throughput terminals from the pandemic recovery were partially offset by the sale of the Texas City terminal, which was completed in December of last year. Second quarter 2021 EBITDA on our fuels marketing segment was $2 million, slightly down from the second quarter of 2020 due to weaker butane blending and bunkering margins. At the end of the second quarter of 2021, our debt balance was $3.5 billion, and we had $810 million revolver availability. We enter the second quarter with a debt to EBITDA ratio of 4.27 times, which we expect to improve through the end of the year. Turning to our full year 2021 projections, taking into account both the December 2020 Texas City terminal sale, and the recently announced terminal sale, we expect NuStar’s 2021 adjusted EBITDA to be in the range of $680 million to $710 million in line with our previous expectations. And we continue to expect to self-fund all of our 2021 spending from internally generated cash flows. Moving to strategic capital, we continue to plan to spend $140 million to $170 million in 2021, of our total 2021 strategic spending, approximately $45 million is for our Permian System, and around $15 million is for our West Coast renewable fuels network. In addition, we also continue to expect to spend 40 million to 50 million on reliability capital spending in 2021. Based on these projections, we expect our debt-to-EBIT ratio at the end of 2021 to be around four times, and our common unit distribution coverage ratio to be at around two times. With that I’ll turn the call back over to Brad.
Brad Barron: Thanks Tom. We’re making good progress on the strategy we've talked about over the past several quarters. With the asset sale we announced, we're delivering on our commitment to reduce our debt. Going forward, we plan to continue to focus on low multiple organic growth projects for our core strategic asset portfolio, fully funded, with our internally generated cash flows. Our strong second quarter, significantly improved over 2Q 2020 and over 1Q 2021, demonstrates solidly rebounding demand and growth across our business. We’re positioned to fund all of our spending from our internally generated cash flows, and generate strong results in 2021, and beyond. Our results, as you will see in our sustainability presentation, come from our strategic plan, which includes our commitment to responsibility and resilience. We believe that responsibility means being committed to doing the right thing, taking care of our employees, our communities, our unitholders and our planet. We're also building resilience into our business to assure NuStar success now and in the future. We believe that traditional sources of energy, like petroleum products we transport store will continue to be an important part of our energy supply, both in the US and across the globe for many decades to come. We plan to continue to build on our growth opportunities across our traditional energy services assets. At the same time, we will continue to pursue emerging energy opportunities, as we have done in building our West Coast renewable fuels network, and as we are now doing on our ammonia system to expand our participation in renewable fuel services. By building a financially flexible business to participate in all of the above, we're assuring NuStar’s ability to grow unitholder value as our industry evolves. And with that, we'll open it up to Q&A.
Operator: [Operator Instructions] And your first question comes from Theresa Chen from Barclays.
Theresa Chen: Thank you for taking my questions and great to see the strong results. I guess, first, maybe if we can revisit the terminal sale. Just wondering, what kind of EBITDA did that contribute to your system previously, and I imagined that's accounted for in terms of the annual guidance, the portion that would be missing from early fourth quarter onwards?
Brad Barron: Yes, we don't typically break that out on asset sales but it is accounted for in the guidance going forward.
Theresa Chen: Okay. And maybe just on the crude side then, what are you seeing as far as producer activity goes into 2022, and just the outlook for volumes on your system at that point?
Danny Oliver: So in terms of activity, Theresa this is Danny, we will continue to see the public's being very disciplined in their capital spend and so far what they've communicated to us we expect to see that in 2022. We continue to see the privates being much more aggressive and acting like you would expect in this price environment, but it'll be interesting to see if we get up into the 80s, if that continues or improves, I think there would be some upside if the public start to release more capital, but we haven't seen that yet.
Operator: And your next question comes from the line of Jeremy Tonet with JPMorgan.
Unidentified Analyst: Hi, this is John for Jeremy. First wanted to ask on the ammonia system, renewable opportunities, do you mind just kind of talking more about what's involved there. Is it just connecting your system to different facilities, and what could be the rough range of where capital requirements for that would be?
Danny Oliver: Sure. This is Danny again. So what we're looking at is, first of all we have existing customers or potential new customers that either already are producing green ammonia or blue ammonia, or will be in the near future, and we're looking at serving on our near-term opportunity, which is still a couple of years out, serving a niche market up in the Midwest where we'll be moving that green or blue ammonia up the line, and they will be using the hydrogen out of that ammonia to fuel fleet vehicles. So that's our nearest term opportunity, a very little - some connections to be made, we haven't - we're not giving any guidance on it, because it's too early to talk about CapEx, but it's going to be very low.
Brad Barron: There's existing capacity on that line, so it's really more about filling that line, line optimization than it is heavy capital.
Unidentified Analyst: And then also I want to ask on storage, do you mind just going through what you were seeing in the quarter, we’re kind of like Corpus exports still around, MVC, anything on upcoming contract rolls, it's kind of like where 2Q, a good run rate for the rest of the year, or kind of anything that keep in mind there?
Brad Barron: Yes, in our forecast we have about - the MVC's, which is about Q2 levels, forecasted for the rest of the year. We did see in July, we've started to see some volumes pick up and so we're hoping as global demand improves around the globe going forward that we'll see those volumes continue to increase, but that's not what we're forecasting, and in terms of contract turnover, we don't have anything in the near-term.
Operator: [Operator Instructions] Your next question comes from Robert Mosca with Mizuho SEC.
Robert Mosca: Just wanted to touch on assets sale to Sunoco, and I understand that it makes sense, there seems to make sense for companies specific standpoints, for both you and Sunoco, but just wondering if there's anything we should read. If we should read anything more into the transaction concerning that refined product terminals on the east coast have changed hands here, just curious to hear your general market commentary there.
Brad Barron: I don't think there's a whole lot more to read into it I mean, we've talked for quite a while about lowering our leverage and we've talked about focusing on our core assets, which focus around our Permian crude system and our renewables fuels network and our big crude storage terminals, our pipelines in the Central East. So, something that we've signaled for quite a while that we're looking at, and really not much more to read into it. They have some synergies with those assets, are getting a great set of infrastructure assets and a great set of employees. So like I said at the very beginning it's a win-win for everyone.
Robert Mosca: That's fair. And maybe just to jump off that, are there any remaining assets in your portfolio that you would view as less core, it seems like the remainder of the portfolio fits nicely. Just wanted to hear your thoughts on that?
Brad Barron: Yes, we feel really comfortable with what we have going forward. And we see opportunities at all of our assets. We'll continue to pursue those.
Robert Mosca: And then just one final one for me. It seems like the near term CapEx opportunities are going to center mostly around the West Coast assets, possibly the ammonia pipeline and I imagine any growth on PCS. Just wondering if you're seeing any more traditional opportunities for the remainder of your hydrocarbon asset base, or if it really is kind of a focused on - has more of an ESG texture with some PCS walk in that?
Danny Oliver: Robert, this is Danny again. So we - you know we always have, we have a pretty diverse system of pipelines and storage assets both in crude and refined products and we always seem to be able to put together pretty good sized basket what we call single serve. We don't talk about them individually much, but we have - we will have a basket of CapEx projects across our systems in every segment.
Operator: And we have no further questions I'll now turn the call back to Pam Schmidt. 
Pam Schmidt: Thank you, Theresa. We would once again like to thank everyone for joining us on the call today. If anyone has any additional questions, please feel free to contact NuStar Investor Relations. Thanks again and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.